Operator: Good morning, and welcome to the Archer Daniels Midland Company Third Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Mr. Case McGee, Vice President, Investor Relations, for Archer Daniels Midland Company. Mr. McGee, you may begin.
Case McGee: Thank you, McKinsey. Good morning, and welcome to ADM's third quarter earnings conference call. Before we begin, I would like to remind you that we are webcasting this presentation on our website, adm.com. The replay will also be available at that address. For those following the presentation, please turn to Slide 2, the company's Safe Harbor statement, which says that some of the comments constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. Statements are based on many assumptions and factors, including availability and prices of raw materials, market conditions, operating efficiencies, access to capital and actions of government. Any changes in such assumptions or factors could produce significantly different results. To the extent permitted under applicable law, the company assumes no obligation to update any forward-looking statements as a result of new information or future events. On today's call, our Chairman and Chief Executive Officer, Pat Woertz, will provide an overview of the quarter. Our Chief Financial Officer, Ray Young, will review financial highlights and corporate results. Our Chief Operating Officer, Juan Luciano, will review the drivers of our operations performance and provide an update on strategic initiatives. Then, they will take your questions. Please turn to Slide 3. I will now turn the call over to Pat.
Patricia A. Woertz: Thank you, Case, and welcome, everyone, to our third quarter call. This morning, we reported third quarter net earnings of $476 million or $0.72 per share on a diluted basis. Our adjusted EPS was $0.46 per share. Segment operating profit was $606 million. The team delivered solid operating results despite the lingering effects of the 2012 U.S. drought. Oilseeds performed well, particularly in North America and in South America. Corn benefited from improved ethanol margins and ag services managed effectively through the transition to the new crop. Looking forward, as record global crop supplies refill the pipeline, we will employ our efficient network to meet strong demand from customers around the world. I'll now turn the call over to Ray.
Ray G. Young: Thanks, Pat, and good morning, everyone. Slide 4 provides some financial highlights for the quarter, which I'll run through briefly. Adjusted EPS for the quarter was $0.46 per share compared to $0.53 last year. Segment operating profit was $606 million compared to last year's $498 million. Last year's results included a $146 million impairment charge related to our investment in Gruma. Our effective tax rate for this quarter was 32%, which is higher than the 29% rate that we booked in the second quarter. The higher effective tax rate this quarter is due to some adjustments to discrete items in our book tax expense of $12 million and a resulting true up of our prior quarter tax rates to our estimated calendar year tax rate. For forecasting purposes, you should assume that we will finish up calendar year 2013 with an average tax rate of about 30%. Our trailing 4-quarter average adjusted ROIC of 5.7% was 50 basis points below our weighted average cost of capital of 6.2%. During the third quarter, our 5.7% adjusted ROIC was consistent with the second quarter adjusted ROIC. But a WACC of 6.2% is up 50 basis points from the second quarter and up 60 basis points from last year, due to a combination of higher interest rates, stronger ADM stock price and a more delevered balance sheet, which I will review shortly. Juan will provide some perspectives for our business in the fourth quarter, but we do expect the ROIC-versus-WACC spread to start turning in the fourth quarter with the quarterly ROIC-over-WACC spread to be solidly positive from improvements in earnings and in invested capital base benefiting from our focus on cash flow generation, although the 4-quarter trailing average ROIC in the fourth quarter may be closer to WACC. On Chart 18 in the Appendix, you can see the reconciliation of reported earnings to adjusted earnings for the quarter ending September 30. For this quarter, we had a LIFO credit of $298 million or $0.28 per share. In addition, we had mark-to-market valuation gains on foreign currency hedges of $26 million or $0.02 per share related to our planned purchase of GrainCorp. We also had impairment charges of $23 million on several assets worth about $0.02 per share. And we had a quarterly tax rate adjustment of $0.02 per share related to truing up the first and second quarter tax rates to the estimated calendar year 2013 rates. Slide 5 provides an operating profit summary and the components of our corporate line. Juan will talk about the segment results in his update, but I'd like to highlight several items in the operating results. In the corn segment, we are separating out the corn hedge ineffectiveness, gains and losses. For this third quarter, we brought into results an additional $11 million of hedged mark-to-market losses that otherwise would have been deferred into the future. When Juan talks about operating results for corn, we have taken out these hedge ineffectiveness impacts in order to provide a better sense of the underlying operating performance. In the ag services segment, included in the results were about $30 million of gains in insurance recoveries related to our property claim from 2012. We self-insured this property with the captive insurance operations and hence, there is an offsetting $30 million loss in the financial line. Results for the quarter ended September 30, 2012, and ag services also included the $146 million impairment charge related to Gruma. Now let me touch on a few lines of items of significance in the corporate line. I mentioned LIFO earlier. A credit of $298 million for the quarter, as significant declines in commodity prices during the quarter greatly impacted our LIFO inventory reserves. That's compared to a charge of $53 million a year ago. Interest expense of $105 million for the quarter, down from the prior year. Unallocated corporate expenses of $97 million were up from the $70 million level a year ago, due primarily to a higher special project cost, higher community investment commitments and the absence of some prior year credits. I mentioned the mark-to-market valuation gain of $26 million related to our Australian dollar hedging. And finally, the other of negative $19 million includes some mark-to-market valuation losses related to our investment in CIP compared to some gains last year. Turning to the cash flow statement on Slide 6. We present here the cash flow statement for the 9 months ending September 30, 2013, compared to the same period the prior year. We generated $1.4 billion from operations before working capital changes in the first 9 months of 2013 compared to $1.8 billion last year. Working capital changes were a source of $3.4 billion of cash in the period, compared to last year when they were a significant use of cash. Total capital spending for the 9 months was $659 million and acquisitions amounted to $35 million. After changes in working capital and investments, our free cash flow for the first 9 months of 2013 was over $4 billion, compared to the use of cash of $600 million last year. Our cash flows are benefiting from lower commodity prices and our focus on cash flow generation. With the strong cash flows, we're able to reduce drawings [ph] on our working capital lines, such as commercial paper borrowings. We did repurchase about 2.5 million shares during the quarter, bringing our year-to-date purchases to about $100 million or a total of about 2.8 million shares. We have about 11 million more shares to repurchase to offset the impact of the equity unit conversion. We finished out the quarter with an average of 664 million shares outstanding on a fully diluted basis. Slide 7 shows the highlights of our balance sheet as of September 30 for both 2013 and 2012. Cash on hand was approximately $3.5 billion, up about $1.8 billion from the prior year. Our operating working capital was about $10 billion, down from the $15 billion level last year or a reduction of $5 billion. Of this reduction, about $2 billion was related to lower quantities of inventory. Total debt was about $6.9 billion, resulting in a net debt balance, that is, debt less cash, of $3.4 billion, down significantly from the 2012 level of $8.8 billion. Our shareholders' equity of $19.6 billion is about $1 billion higher than the level last year. Our ratio of net debt to total capital, that is, excluding cash from gross debt, is 15%, much improved from the September 30, 2012, level of 32%. In many respects, our balance sheet leverage is low at the end of this September, impacted by the small U.S. carryout and the late U.S. harvest, as well as lower corn prices. In addition, our balance sheet is ready to fund the GrainCorp transaction when it closes, as well as the accumulation of inventory in the fourth quarter as we go through the North American harvest. At the same time, our focus on capital efficiency and generating cash from the assets is translating into a strong balance sheet as well. We had $8.7 billion in available global credit capacity at the end of September. If you add the available cash, we had access to about $12 billion of liquidity. Next, Juan will take us through an operational review of the quarter. Juan?
Juan Ricardo Luciano: Thank you, Ray. Good morning, and thank you all for joining us today. We have made some changes to this portion of our presentation. My comments will focus more on the drivers of our results and our underlying performance and less on the accounting variances between periods. The slide shows both sequential results and year ago results. So if you turn to Slide 8, I will start with segment operating profit and then move on to discuss the 3 major segments. The team managed well through the steep inverse, minimizing inventories by keeping operations running at efficient rates and our customers well supplied. This was a solid performance in a very tough environment. Our underlying segment operating profit was slightly down, both sequentially and year-over-year. If you turn to Slide 9, starting with the oilseeds team, who managed the inverse very well in North and South America. Amid a strong foreign and domestic demand and a tight crop balance sheet, the strategic locations of our U.S. operations and the ability of our team to source and transport beans allowed us to maintain good crush rates. And as farmers brought in the harvest, that same origination and transportation network kept our plants supplied with new crop beans. Meanwhile, in South America, our team moved large export volumes through our efficient river and port operations at the peak of the inverse, capturing strong margins. In Northern Brazil, we continued preparing our new port ahead of the harvest. Also, I want to note that our protein specialties business set a new record operating profit as we continued to grow our high value-added ingredients business. In corn, Slide 10, margins in our sweeteners and starches business remain solid as our sweetener shipments to Mexico were relatively stable. Our ethanol team managed through continued volatility, and margins remained positive as higher gasoline demand and lower corn inventories kept supply and demand relatively balanced. We continued to identify and implement new projects to further improve our cost advantage in this business. And our renewable chemicals group had its most profitable quarter to date. Slide 11, please. Ag services managed effectively through the crop transition and the steep inverse. As U.S. crop supplies dwindled, July and August exports from the Gulf of Mexico were seasonably low. As the large harvests began to arrive in September, exports rose to higher-than-average levels. Our international merchandising team had a challenging quarter. And with low crop supplies, our barge business found other freight to move, including frac sand and building supplies. Once the harvest started in the Mississippi River Delta, our ARTCO barge line handled about 40% of the region's total crop. Also, this quarter, we opened our intermodal container hub here in Decatur. This so-called inland port will allow ADM and our transportation customers to further leverage ADM's prime location, with access to 3 Class 1 railroads and 5 major U.S. highways. Our milling business continued to perform very well. As we look to position ADM for better performance and better returns, we are focused on 3 key areas: Strengthening the core business, expanding our business and managing our portfolio. Let me update you on Slide 12 on the 3 key areas. Strengthening the core includes our efforts on the 3 Cs: Capital, cost and cash. We are ahead of schedule in our cost management efforts. We have implemented the steps that will deliver more than half of our targeted -- target of an additional $200 million in cost reductions by the end of 2014. In cash, we continued to benefit from the focus of the $1 billion challenge efforts created in the organization. We not only achieved $2 billion in working cash reductions, but we also elevated ADM's overall focus on cash generation. We can see that reflected in our strong cash flow again this quarter. And in capital, we remain on pace to invest around $1 billion in 2013. For 2014, we expect to be a little higher but remain under $1.5 billion for the year. Our effort to expand the business includes our pending acquisition of GrainCorp. We are making good progress here, with 7 out of 9 jurisdictions having cleared the deal. In the third quarter, we received clearance from South Africa, Japan, the European Commission and South Korea. We continue to work with authorities in Australia and China to achieve the final approvals. Earlier this month, the Australian Treasurer issued an interim order, which commits the government to a decision by December 17 at the latest. Based on this, we expect closing to be sometime in the first quarter of 2014. And in our ongoing portfolio management efforts, we continue to focus on cocoa. We are happy to report that business conditions improved in the third quarter, as we suggested would happen on our last call. And we're very proud of the way our team capitalized on the improved business environment. Regarding discussions about the potential sales of this business, we have no news to report. And finally, on Slide 13, we wanted to discuss some of the factors we think will influence our business in both the fourth quarter and in 2014. As we mentioned, the world will have record supplies of corn, oilseeds and wheat. In the U.S., we are expecting a record corn crop and a very large soybean crop. In Brazil, we're anticipating record soybean planting, and we're seeing strong grains production in the Black Sea region. These large supplies will present an excellent opportunity for us to utilize our global storage and transportation assets. They will mean lower cost inputs for our process in operations, and they will make all of our products more competitive versus substitutes. We see strong demand for U.S. soybean exports. We expect this demand to continue, though we're mindful of significant soybean stocks held by farmers in Argentina. Around the world, we continue to see strong global demand for oilseeds and protein meal. In the U.S., the expiration of the biodiesel blenders' credit at the end of this year is driving strong biodiesel demand in the fourth quarter. And we are encouraged by the growth of our protein specialty business in oilseeds. The record U.S. corn harvest will mean ample supplies for ethanol production. We'll be watching industry production levels relatively to demand, and we will continue to adjust our plans to maximize our own profitability. We expect continued ethanol margin volatility. In 2014, between favorable blending economics, expansion of E85 adoption and growing exports, we remain confident in our ethanol business. Pat?
Patricia A. Woertz: Thank you, Juan. So just to summarize, we had solid overall performance, driven by North and South American oilseeds and improved ethanol margins, ag services managed the transition effectively. We're ahead on cost management, and we're seeing great results from our cash efforts. Looking ahead, large supplies, strong demand, lots of opportunity. So with that, operator, if you would please open the line for questions?
Operator: [Operator Instructions] Your first question comes from the line of Zen -- I'm sorry, Ken Zaslow with Bank of Montréal.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Just have a couple of questions. One is, can you talk about the progress on the sale of the cocoa business? I don't know -- I just -- hear [ph] the update on that.
Patricia A. Woertz: Sure, Ken. Juan covered it a bit in his comments, but let me say a little more. Certainly, conditions have improved since the third quarter, and we're proud of the way the team has capitalized on that improving business environment. So that's sort of the first thing. Any discussions about the potential sale, we don't have any news to report this quarter. It is part of our disciplined approach that we look at portfolio management and evaluate everything and take into account all of what our discussions would be. But it wouldn't be appropriate to comment on any of those discussions today, so we don't have any news about the sale.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. The other 2 questions I have is with the change -- the potential change for the RFS, can you talk about your view on what that status would be and how that would actually change your outlook for ethanol margins into 2014?
Juan Ricardo Luciano: Yes, Ken. Juan here. The EPA has confirmed that they have made no final decision in that regard. So to comment on rumors, it would be speculative at this point. I just think about the conditions in the market right now, with the U.S. record corn crop and corn prices having declined, the economics are very strong to blend ethanol today. Between these economics to blend, Ken, the expansion of E85 and E15 blends, the surplus reins [ph] that they are carrying to 2014 and the growing exports in ethanol as corn becomes more competitive in the U.S., we are very confident in the industry's ability to meet the 2014 [ph] corn-based requirements. So we don't see major reasons for any change in policy at this point in time.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. If there were a change in policy, would you think that the margins would be more volatile or would it not change it because of the lower corn prices? Can you just give some conceptual view on -- if there were changes, if there were -- does that change any of your outlook for 2014?
Juan Ricardo Luciano: If there were changes in policy, first, I will be highly disappointed since we've invested based on the policy and we invested it for the long term. But I will say, we continue to see export potential and that is growing. There are some experts that are talking maybe even 1 billion gallons for next year. And I think if this is a mature market in the absence of growth from the RFS, so we will manage as such and we will adjust supply and demand to maximize profitability. So we continue to expect volatility, but we are positive about margins. We continue to emphasize in a smaller market that we are at the first quartile end of the cost curve, if you will. So I think that, if you think on the long term, on a smaller potential ethanol market, it may impact the high-cost producers. And that's why I emphasized in my remarks, we continue to find opportunities to extend our cost advantage in ethanol.
Operator: Your next question comes from the line of Ryan Oksenhendler with Bank of America Securities Merrill Lynch.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Can you guys just talk about -- I was really surprised by how well oilseeds did during the quarter, particularly your commentary around North America. Could you talk about, I guess, what was driving that? And maybe if you can provide a little information about the mix of contributions from North America and South America, because I think everyone kind of expected South America to be good, and then kind of how you see it going forward over the next 2 or 3 quarters.
Juan Ricardo Luciano: Sure, Ryan, yes. North America, as you described, had an exceptional performance this quarter. We emphasized the location of our plants to allow us to get good access to beans. But the team did an exceptional performance, running a very, very tight environment. Demand was very steady on a domestic basis, very strong on an export perspective. So we took full advantage of that. Obviously, run rates of our oilseeds were relatively lower than other quarters, but margins expanded. So I think we managed that combination very, very well. When you look at South America, we had a very strong quarter, mostly driven by origination, the corn exports and all that. As you know, our ag services business or our origination business reports under oilseeds in South America, and that's what you saw there. From a crushing perspective, the environment, as we look at Europe, even China or North America, Northern Hemisphere is strong. We expect it to be strong on a steady domestic supply in the -- domestic demand in the U.S. and as I said, a strong export meal market for probably the next 2 quarters. So we are -- we continue to be bullish about our soybeans business.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Great. And then just in terms of free cash flow, it looks like you generated like $2 billion -- about $2 billion in the quarter, maybe if you could talk about the expectations going forward. It seems like grain prices have moderated since quarter end. And then the potential uses of cash because you're clearly in the middle of making a major acquisition, which -- it seems like you already have cash on hand for, I don't know, that I would expect another major acquisition, so maybe there might be something minor there in terms of M&A. But debt paydown, I don't think you paid down some more debt this quarter. Is there any reason not to expect significant share repurchase going forward?
Ray G. Young: It's Ray here. Yes, we're working through a couple of things right now. First of all, our expectation is, with a normal U.S. harvest here, we do expect grain prices to remain fairly subdued here. At the same time, there are a couple of things ahead of us. As you pointed out, the GrainCorp acquisition, we'll have to fund that. And again, our balance sheet is pretty strong, able to handle that through our operating cash flows. Secondly, we are working through our 2014 business plan at this juncture right now and are determining what kind of projects we have in front of us for next year. That will also guide us in terms of some of the capital structure considerations. Thirdly, our credit metrics. I mean, our balance sheet leverage right now is pretty good. I mean, it's come down dramatically. At the same time, our debt-to-EBITDA ratio remains somewhat strained, and that's due to the fact that we haven't -- due to the residual impacts of the 2012 drought, our earnings haven't been that strong. So we're looking for a recovery of the debt-to-EBITDA ratio also in order to determine how we're going to approach the share buybacks in the future. But assuming prices remain -- commodity prices remain low and assuming earnings recovery occurs and assuming no other factors to our horizon, we can see ourselves accelerating the pace of share buybacks to mitigate the impact of the equity unit dilution. As I indicated in my remarks, there's about 11 million more shares that we need to buy to fully offset the equity unit conversions. And then beyond that, we clearly are examining our -- all of our options for capital allocation, including share buybacks, with the objective, clearly, of driving returns, and as you know, our objective is to generate returns on invested capital above WACC of at least 200 basis points to over the cycle. So that's really guiding us in terms of how we're thinking through a lot of our capital allocation.
Operator: Your next question comes from the line of Robert Moskow with Crédit Suisse Securities LLC.
Robert Moskow - Crédit Suisse AG, Research Division: I wanted to see if you had a sense of the demand side for oilseeds, specifically in the livestock industry. I think one of your competitors said that they expect customers to start refilling their inventories. So I just wanted to see if you -- when you take the pulse of your customer base, do you see that happening and do you see any rebuilding going on in the livestock industry in response to lower prices? And then just a quick follow-up, on your comment here that Europe was weak because of limited soybean availability, I always thought of Europe as a rapeseed market. So I just wanted to know why the comment there on soybeans.
Juan Ricardo Luciano: Yes, Rob. This is Juan. I'm not sure I said that Europe was weak on soybean availability.
Robert Moskow - Crédit Suisse AG, Research Division: That's what it says in the press release, Juan.
Juan Ricardo Luciano: Okay. Europe was -- is, as you said before, is a rapeseed market basically. We had higher raw material costs that impacted us in Europe, and a little bit of the soybean mill coming from South America put some pressure on that. But in reality, when you look -- compared to the previous year, Europe had a very good quarter. So in general, we enjoy good margins there. Going back to your original question about the customers, we see, as I said before, solid domestic demand. Customers are gaining back into profitability, and they seem to be having good prospects into the future. So we see our pipeline for continued good demand here in North America. As I said, probably until we start running out of beans, maybe Q2, Q3 next year, we see strong margins.
Robert Moskow - Crédit Suisse AG, Research Division: Can I just ask a quick follow-up? On high-fructose corn syrup in Mexico, there's word of potential, I guess, regulatory efforts to reduce sugar in beverages or discourage it. How are you thinking of that in your business? And is there any impact that we should consider?
Juan Ricardo Luciano: Yes. So when we look at the situation in sweeteners going forward, we see there are some headwinds, as you described. Mexico is going to have a big sugar crop, a record sugar crop that has dropped prices. And also, there are these soda tax that you described. It's difficult -- first of all, the tax is not a law yet, but it's difficult to estimate the impact that will have. We don't know exactly how it's going to impact one-serving eat [ph] items, if that's going to apply or not. And also, you have to remember that the soda marketing people are very good price managers, and I'm sure they're going to position price correctly to minimize the impact. There are some estimates -- or they are saying maybe a 5% drop in consumption. It is a speculation at this point in time. But so those are the headwinds, if you will. The tailwind, to look at it on the other side, is that our corn prices are much lower, so our products are much more competitive. And that's going to narrow some of the gap to sugar in certain parts of the world. So we're still positive about getting volumes as planned, maybe a little bit of a headwind, as you described, but I would remain very positive. This has been a relatively stable business for us, and we've been delivering volumes as per plan, so far.
Operator: Your next question comes from the line of David Driscoll with Citi.
Cornell Burnette: This is Cornell Burnette in with a question for David. Okay, great. I just -- earlier, Juan, you talked about the schedule in the RFS move into 14.4 billion gallons next year. But I would say, looking at the E10 blend well [ph], that gives us just about 13 billion gallons, and the E15 seems to be coming -- becoming a bit maybe slower than maybe we would have thought in the past. So it seemed to get to that 14.4 billion metric. We would really need, I think, to be driven by E85. I just wanted to ask, what was your opinion on the adoption of E85? And then also if you could talk a bit about E85 economics versus E10, that would be great.
Juan Ricardo Luciano: Sure, yes. Cornell, I agree with you. If we look at the evolution of E15 and E85, E15 implementation, the implementation of those blends is coming slower than expected, and there are obviously issues of infrastructure there and convincing of people to switch. When we look at E85, we've seen a completely different picture there. We have already approximately 3,200 stations dispensing E85 these days. I get frequent reports -- there was a week, I think, in September where maybe something like 20, 25 work -- new stations started to dispense E85. E85 allows to, when people price it correctly, to get the full impact of the advantage that corn brings here to the table. At -- in some places, it's priced at about $1 under E10 mixture. So we see that as a really positive for us to get to the number. As I said before, there are 1 billion D6 RINs going into next year. There is E85 growth, as I said, in these 3,200 stations. When we look at the numbers of how much volume or how many gallons these E85 could represent for us, if people would price E85 low enough to entice conversion, perhaps as much as 3 billion gallons over the next 2 years could be there. So if you start thinking of potentially 1 billion gallons of exports, 1 billion RINs for next year and maybe 1 billion gallons of E85 over time, we feel very confident that we can deliver it on those numbers.
Operator: Your next question comes from the line of Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: First one is on milling. While it's smaller business for you guys, it had an exceptionally strong quarter. I was wondering if it's seasonality or anything in particular you would highlight on that milling business, and what we should look for going forward.
Juan Ricardo Luciano: Yes. Farha, this is Juan. Yes, the business was strong on seasonality. And we have, especially on the food side of it, was a strong demand. And we have an exceptional team. They execute very, very well. So all in all, a very, very solid performance. Sometimes we underestimate or undermention them just because they are so solid that they continue to deliver very good business for us.
Farha Aslam - Stephens Inc., Research Division: Yes. And then a harder business just for us to kind of predict is how merchandising and transportation, what we can expect with the large crop, particularly with transportation, given that we're hearing that barge rates and rail rates are going up significantly with the large crop coming in. Does that benefit you guys in the fourth quarter? Is that something that will benefit you throughout next year? Could you just give us some more color regarding transportation, and then how you expect that merchandising business to perform over the next few quarters, given that the crop is coming in late and it sounds like the initial crop is going in the bin rather going to merchandisers? Just some color around that would be really helpful.
Juan Ricardo Luciano: Well, you gave already an excellent picture, Farha. This is Juan. Listen, the way we look at this is obviously, a big crop will present with -- to ADM and to ag services, an excellent opportunity to fully utilize all our assets, our fixed assets, our transportation assets, and we will work to maximize that over the several quarters. We're probably going to have a full year ahead of us of high profits for ag services. Whether they all fall in the fourth quarter or not, I mean it will depend on how do we execute based on maximizing opportunities. There may be different market situations that make us -- that some of those profits overspill into Q1 or some different situations, market conditions that make those profits to fall into Q4. I think we focused on maximizing the long term, the year, if you will, in that sense, profits for the shareholders. So don't hold us too tight on Q4 in that sense. The crop is just being harvested. It's probably 80% corn and -- 80% soybean and 60% corn. So there's still a lot of decisions that need to be made by the farmer in terms of marketing their grains and whether the market is going to put more carry or not. So at this point in time, we are excited. We've seen in Q3 already September volumes, export volumes and also transportation occupancy rates coming up significantly. So it's a good preview into what could be a strong Q4. Whether it's going to be a record Q4 or some of that will be in 2014, we'll have to see, depending on the market conditions.
Operator: Your next question comes from the line of Adam Samuelson with Goldman Sachs.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: Maybe another question on ethanol, and Juan, just maybe on E85, and as we think about the pace of adoption here. And I guess, I'm trying to really get a sense of how you alluded to $1 billion -- 1 billion gallons of E85 consumption. Do you think that's going to happen in the next 12 months? Or how quickly do you think we can get widespread E85 adoption, given the current corn and gasoline price environment?
Juan Ricardo Luciano: Yes. There are a lot of vehicles out there, obviously, that can use this fuel, so a lot will depend on we don't have that power to price it correctly, and I said that before. We have seen -- the number of stations dispensing E85 is growing every week, which is a very good sign that this is a profitable business and a growing business for the owners. Obviously, as I said before, it could be priced $1 or more advantage already, then that will drive more consumption. There are today 240,000 vehicles on the road today that can consume this.
Patricia A. Woertz: It's 14,000 flex fuel.
Juan Ricardo Luciano: Yes, 14,000 -- sorry, 14,000 flex fuel vehicles. So again, I think the issue will depend all on how effectively can you price it. I think making a forecast on how quickly can it grow, it could be dangerous not having the tool of pricing. But we feel that there is -- that the vehicle -- there are the number of vehicles have dared to have that kind of impact. So again, we were thinking of something about 3 billion gallons over the next 2 years. And I know -- I don't know exactly how we're going to ramp up 1 year -- in the first year.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And then maybe just a second question on cost. And I know you've given targets for $200 million of cost out by the end of 2014. Can you -- as we look out -- as we -- as the new crop comes in and presumably, the [indiscernible] utilization, primarily in ag services, should increase meaningfully. Can you talk about how we should think about margins from the cost out -- the margin uplift from the cost out with the new crop coming in, and maybe within the portfolio where that impact is most pronounced?
Juan Ricardo Luciano: Yes. Certainly the biggest impact will be in the ag services business. The ag services business did a fantastic job last year of adjusting their variable cost to a smaller crop. But to a big extent, they are a fixed-cost business since we have all the infrastructure already built. So if you figure that volumes in the U.S. handled by our footprint may be in the range of over 20% bigger than previous year, you could have that kind of dilution of our fixed cost. So we believe there's going to be a big margin expansion in that, and -- but again, it will be that compounded with some of the dislocations and the market opportunities that the industry will present. So every year, we tend to make money in a different way, and we have an exceptional team that can adapt to do that. So we are very optimistic in having a very pronounced increase in profit in ag services by -- for 2014.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: And I know, in the past, you talked to merchandise -- the old merchandising and handling and transportation when they were on their own, $150 million to $200 million or so of quarterly segment profit. Is there any kind of updated view there, or is it too early to tell at this point?
Juan Ricardo Luciano: I think -- listen, it's a little bit early. As I said, we only have September as a sample of this. So we would like to see how the harvest concludes and how the farmer reacts to this before making a commitment.
Operator: Your next question comes from the line of Mike Piken with Cleveland Research.
Michael Piken: A couple of quick questions. Could you talk a little bit about the impact maybe that you're seeing from some of the disease issues that are impacting the U.S. hog herd and how that might impact meal demand?
Juan Ricardo Luciano: Yes. So what you're referring is the porcine epidemic virus. Obviously, it's not a new virus, it's just new in the U.S. And we have had some reports of some cases in Iowa. At this point in time, not huge. This is all about prevention. There's no vaccine against this virus. So it's all about disinfecting and cleaning. Obviously, there's no human issue. There's no repercussion in their ability to use the protein as food. It just kills the small -- the baby pigs. But we haven't seen -- other than some reports, we haven't seen any impact in meal at this point in time. Whether it's going to come later on, it will depend on how well, again, the producers sanitize and have early detection of some of these viruses. But not -- other than some circumstantial reports, nothing significant at this point.
Michael Piken: Okay, great. And then as we sort of think longer term about both meal and oil demand, on the meal side, if we think about the growth in DDGs starting to stall out with the ethanol industry reaching maturity, how do you sort of think about the long-term growth potential for meal demand globally? And then on the oil side, I guess, what do you think will happen in 2014 as the biodiesel credit expires? Do you expect to maintain the margins that you saw this quarter?
Juan Ricardo Luciano: Yes. Well, you said it. Biodiesel, we saw good margins this quarter. We've seen even better conditions in Q4, as people try to take advantage of the credit before it expires. We can't comment on what's going to happen next year. The government hasn't issued any ruling yet. And just a reminder that last year, they issued the ruling late, but it was retroactive. So it could happen again this year. Obviously, biodiesel needs of that, so margins will be different if that doesn't happen. On meal demand, I think I answered Farha before about -- we see this very solid demand in -- domestically and very strong in exports. We're even exporting a lot of the DDGs as well to China. So we continue to be very bullish about long term and higher increase in protein consumption. So all very much along the trends that we have seen and they continued to deliver. We continue to grow into the global crushing capacity because demand continues to be there quarter after quarter.
Operator: [Operator Instructions] Your next question comes from the line of Tim Tiberio with Miller Tabak + Co., LLC.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: My first question is, looking at the South American crop potential coming into 2014, how are you thinking about how the operations are positioned from a transportation cost perspective? I know that kind of caught a lot of agri business players a little bit off guard last year. Do you think that the operations have kind of taken some of the key learnings from last season and are proactively implementing that, heading into 2014?
Juan Ricardo Luciano: We prepared for last year, maybe we were not prepared for the huge inverse that enticed the farmers to try to sell all at the peak of that inverse at the same time. So we continue to prepare. We are renewing some of our facilities, enlarging some others. We -- you heard us before. We are building this port in the northern part of Brazil to make sure that not all the crop needs to go through the Port of Santos, and we alleviate a little bit of that. The port is waiting for some permitting, but we are gearing up to be ready for the next harvest. That will be maybe 1 million tons of handling capacity at the beginning, in -- 3 million tons when it's completely up and running. So yes, we continue to invest. I think all the industry every year does that. Every year, production seems to grow a little bit faster than what the industry can add infrastructure to, but we continue to be committed to it.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. And then secondly, I've noticed that the European Union has gone ahead with some of the anti-dumping tariffs in Indonesia and Argentina. How is that impacting your European biodiesel business? Are you seeing that as a positive, and should we see that continuing forward into 2014?
Juan Ricardo Luciano: Yes, Tim. It has impacted us positively, absolutely, as it reduced the competition from these 2 sources. So overall, it's a positive for ADM. We don't produce biodiesel in Argentina, and we are certainly a producer in Europe. So it's a positive for us, yes.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. And then just lastly, one of your industry peers have -- has become more inquisitive in the milling segment. As you look out across the -- your Americas footprint, are you pretty comfortable with where you are as far as capacity on the milling side within the Americas?
Juan Ricardo Luciano: Yes, we are. I described it before. It's a very solid business. We have positions in North America, but also in Central America, very good businesses for us. If anything, what we've been investing is in more efficiency, so shutting down sometimes old facilities or consolidating 2 or 3 facilities into a new one. So we continued to be there to supply our customers and to follow on their growth.
Operator: Your next question comes from the line of Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Juan, can I just ask -- you mentioned Santos and there's been a problem down there, more on the sugar side than what you guys do. But from what I've been reading, it sounds like it's going to take a long time to repair and it's going to -- it's expected to sort of compound the difficult logistics that we saw last year going into next year when the harvest may actually be even larger. So how should we be thinking about that for you guys going into the South American crop next year? Maybe we just start there.
Juan Ricardo Luciano: Yes. One of the ways, as I said -- first of all, obviously, we are continuing to strengthen all our storage, our rails, our tracking contracts to make sure that we deal with that a little bit more effectively than we did last year. We are also, as we look at -- into the year and a year with more plentiful crops everywhere, we expect, as I said, to have less the -- less of an impact of the inverse like we had last year. And we think that, that -- last year, it was a combination. It was a little bit of a late harvest. It kind of came a little bit on top of -- one on top of another. So then there was a rush to sell a bit at the peak of the inverse. We expect some of those conditions may be different next year. So when you combine with being able to move some of the crop through the north in our port in Belém, with less of an impact of an inverse and a little bit of better infrastructure in Santos, all that combination, hopefully, will make the situation a little bit better than this year. But there's still going to be lines. We've been seeing lines for many, many years. So we just think that it will not be -- the big issue there was maybe last year.
Vincent Andrews - Morgan Stanley, Research Division: Okay. And maybe just as a follow-up, the -- on the USDA balance sheet for corn, in particular, the U.S. has lost a lot of export market share to South America and to the Ukraine. As we think about having a larger crop in the U.S. this year, do you anticipate the U.S. will get back a lot of that share? Are you indifferent to that, given that you have access to material in those other markets as well? Or how should we be thinking about that?
Juan Ricardo Luciano: Yes, I think that exports in the U.S. typically have been in the maybe 2 billion bushel range and decreased significantly last year. We expect them to come back some this year, maybe not to the level of historically. And we benefit from exports, but we also benefit from a variety of other ways, whether it's supporting our local demand here of handling, drying, storing crops at origins, if we develop big carries, we make money from that as well. So not only exports drive our ag services business. And we have also a big international merchandising business that is there to move products outside the U.S. So we are not tied exclusively to the U.S. success in exports for us to make money in ag services.
Operator: Your next question comes from the line of Diane Geissler with CLSA.
Diane Geissler - CLSA Limited, Research Division: I wanted to ask on your lower working capital and inventory balances. How much of that do you ascribe to the lower commodity cost? And then how much is really just because of the timing shift? We had an earlier crop last year versus this year. I mean, I see it in the process, volume is down pretty significantly year-on-year. But could you talk about -- just trying to get an idea about how you'll end the year in terms of inventory and working capital.
Ray G. Young: Yes, Diane. It's Ray here. When we -- when I talked about the working capital changes being a source of cash of about $3 billion in the first 9 months, about $1 billion of that was ascribed to really lower prices, and the rest of that is really due to just lower volumes. As we kind of think through -- moving from September 30 to December 31, I mean, clearly, depending on carries, there's an opportunity for us to build up some inventories as well. At the same time, I think that, at the end of the year, normally what happens is we also build up pretty large payable balances to farmers, to our producers here in the United States, and so that's going to be a source of cash for us as well. So while I do expect probably some buildup in working capital, I don't expect it to be that significant, especially given it looks like socomite [ph] prices will remain constrained.
Diane Geissler - CLSA Limited, Research Division: Okay. What is your view on the crop, because we didn't get a [indiscernible] report in October? And what I'm hearing is, is that the crop out in this field is actually larger, the yields are better because of the weather we've had for the last 6 weeks. So is -- what is your early read really on yields in corn and beans?
Juan Ricardo Luciano: Yes, Diane, this is Juan. Yes, we've seen early reports from the field that the crop seems to be larger than expected. So we're thinking about 14 billion bushels for corn and something in the range of 3.2 billion for soybeans, probably with a little bit more variances from area to area in soybeans that -- in terms of yield. But in general, very positive results and very positive samplings from our people on the field.
Diane Geissler - CLSA Limited, Research Division: Okay. And then I didn't hear a discussion on fructose contracting, I may have missed it. What is your expectations, I guess, for the crop this size and prices down for -- with your bottlers for 2014?
Juan Ricardo Luciano: Yes. As I described before, there are some headwinds in the Mexico side. Our volumes have been slightly lower than last year, but it's still above average. So we still have good, tight capacity utilization. So we're in the middle of that negotiation. So I will -- not going to -- I'm not going to say much. But I will say, we have a big capacity of shifting some of the product mix. So we have many, many products coming from these. And every year, we look at how to allocate that volume to maximize value, and part of these negotiations go into that exercise as well.
Diane Geissler - CLSA Limited, Research Division: Okay. But do you have a -- do you think you'll be done with the contracting by the end of the year? Do you think that will carry into 2014?
Juan Ricardo Luciano: It normally carries a little bit into January and February.
Operator: Your next question comes from the line of Ann Duignan with JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Most of my questions have been answered, but I just wanted to ask philosophically on ethanol. With production already reaching record levels the last couple of weeks and RIN carryover is now into '14, isn't it prudent to assume that margins in ethanol should likely deteriorate as we go through '14, just on -- from a supply side part of the equation?
Juan Ricardo Luciano: Yes, this is Juan. We expect, as we go into Q4, a lower driving season and more ethanol -- more corn available for ethanol producers. So we expect pressure in our margins as we go into Q4. '14, as I said, there's going to be this increase in production at the same time that corn prices go down and ethanol becomes more internationally competitive. So it's going to be a climb in exports. And because those things never happen at the perfect timing, you're going to see volatility. But overall, we are positive '14 probably seen some pressure in margins in Q4.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay, that's helpful. And then on the biodiesel side, should the tax credits expire, where else can you find a market for the soybean oil?
Juan Ricardo Luciano: Well, biodiesel is a good option for us to divert part of the oil. Oil inventories had been drawn down during the past quarter, so they are not very big. And edible oil consumption continues to be very good. But certainly, it will be a negative if the subsidy is not renewed.
Operator: Your next question comes from the line of Eric Larson with CL King & Associates.
Eric J. Larson - CL King & Associates, Inc., Research Division: Just want to drill down a little bit more kind of in the current harvest. Are we sort of past sort of the big bulge in surge in soybeans and are we -- in soybean harvest? And are we probably right at the -- right in the middle of the corn surge as -- right now? We've seen very weak prices the last week or so, even in the last few days. And you've got a very positive carry on corn. You have no incentive right now on soybeans. So aren't we set up pretty well to have -- just with that analysis alone, forget about the drying conditions, whether you're drying more corn right now, we should be pretty well set up for some pretty strong ag services profits over the next few quarters. Is that fair?
Juan Ricardo Luciano: Eric, we've been waiting for this situation for quite a while. So I would say, the team is ready. The assets have been maintained and the team is excited about executing on that environment. The environment is favorable at this point.
Eric J. Larson - CL King & Associates, Inc., Research Division: Okay. So we could -- even on the -- even on a cash price basis, I'm seeing some elevators at $4 on corn. It's a little bit higher on a national basis. But certainly, it seems like you're getting the big surge of corn at the moment. Is that fair?
Juan Ricardo Luciano: Yes.
Eric J. Larson - CL King & Associates, Inc., Research Division: Okay. And then if you kind of look at your -- if I look at the merchandising side, and I think your explanation earlier was pretty accurate, you are a global merchandising company. But we have seen in the past where exports just don't recover quite as quickly because we've encouraged a lot of production around the world with high corn prices the last year in places like the Ukraine and South America, Latin America. Do you think that your merchandising capabilities internationally, for example, picking up potential merchandising services out of Russia and out of the -- out of South America, could offset maybe a slower recovery in U.S. exports?
Juan Ricardo Luciano: That's a good observation. Our team in -- our origination team in Brazil is very strong and they have delivered like -- in quarters like these, very strong performance. And also, our operations in the Black Sea area are also very strong. So I feel very good about our ability to export from those regions if the U.S. is not competitive.
Operator: You have a follow-up question from the line of David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: Just quick questions on the high-fructose corn syrup and the corn sweeteners segment. Juan, you had mentioned earlier that volumes are holding in pretty nicely and that your shipments to Mexico in the quarter were pretty much flat. But when you look at the numbers, it seems like when you exclude the hedging impacts, profits in that segment were down about 20% or so in the quarter. And I just wanted to know what was driving that. And then secondly, it seems like you're booking some of the trends that we see in USDA data in terms of shipments to Mexico. The latest USDA data will have them down about 20% in the second quarter. You said you guys were about flat in the third quarter. So I wanted to know, was the industry moving at that same pace in the third quarter and things started to recover? Or are you guys just bucking the trend? And then what's your outlook for exports going forward?
Juan Ricardo Luciano: This summer was an unusual summer in which -- when I was talking about our volumes, it's also our, in general, year-to-date volumes. But the summer was a cool and wet summer at the beginning, which reduced the consumption. And I think you heard our customers also reporting lower sales. And then it picked up a bit later into the summer. We also have -- regarding your comment on the profitability, we have some asset write-offs that impacted that segment. So it's not all volume. But I would say, we -- as we look into next year, as I mentioned before, we see some headwinds in terms of our export to Mexico, either the tax or the big sugar crop that they are having over there. And we will have to see what our cost position becomes after corn settles for the next year and see how competitive we are. As I said before, we have many tools. We have many products that we use to compete for our grind. And we have an incredible good commercial and logistics network going into Mexico that makes us very, very competitive and good -- a very good supplier there. So we face the prospect of next year with cautious optimism, I would say.
Operator: There are no further questions at this time. I will now turn the call over to Patricia Woertz for any closing remarks.
Patricia A. Woertz: Thank you, everyone, for joining us today. Slide 15 does list our upcoming investor events. And as always, feel free to call Case or any of us for follow-up questions. Thanks a lot. Bye-bye now.
Operator: This concludes today's conference call. You may now disconnect.